Operator: Good morning, and welcome to you at Driven Brands Holdings Fourth Quarter 2020 Earnings Conference Call. My name is Denise and I will be your operator today. As reminder this call is being recorded. Joining the call this morning are Jonathan Fitzpatrick, President and Chief Executive Officer; Tiffany Mason, Executive Vice President and Chief Financial Officer; and Rachel Webb, Vice President of Investor Relations. During today's call, management will refer to certain non-GAAP financial measures. You can find the reconciliations to the most directly comparable GAAP financial measures on the company's Investor Relations Web site and in its filings with the Securities and Exchange Commission.
Jonathan Fitzpatrick: Thank you, Denise and good morning, everyone. I'm thrilled to be joining you on our first earnings call following our IPO in mid-January. And the focus of myself, Tiffany and our entire team has always been to consistently deliver great results and that focus has only being further amplified now that we are public. We remain incredibly excited about capitalizing on the whitespace in front of us and ensuring we drive value for all our stakeholders. 2020 was quite a year. We carefully managed through the pandemic and drove strong results, acquired and fully integrated International Car Wash Group, the largest acquisition in Driven's history. We completed two debt offerings and launched our IPO. And I want to thank our franchisees and our employees for their unwavering dedication and commitment to delivering exceptional service to our customers. Our industry is strong, and we are optimistic about the rebound in trends as consumers more fully reengage in their daily activities and drive more. The strength of our results is a testament to our business diversification and amazing franchisees. You saw our results for Q4 and fiscal 2020 release this morning. While same store sales declined 5.6% for the year, our performance outpaced the industry as we continue to gain market share, largely from independents and small chains. We added a total of 1,121 locations across our portfolio in 2020, representing net store growth of 36%. And I'm proud to report that we hit the top end of our expected range for fiscal 2020 with revenue of over 904 million, adjusted EBITDA up $205 million and acquisition adjusted EBITDA up $269 million. Tiffany will get into more detail regarding those results in addition to our guidance for fiscal 2021. But I'm pleased to share that so far into our first quarter we're on plan.
Tiffany Mason: Thanks, Jonathan and good morning, everyone. I'll begin with our performance in the fourth quarter, then share highlights from fiscal 2020 before providing some context to accompany our guidance for fiscal 2021. Looking in the rear view mirror at the fourth quarter. System wide sales were $935 million, from which we generated revenue of $289 million, an increase of 58% versus the prior year. Adjusted EBITDA was $66 million more than double that of 4Q 2019. As a percentage of revenue, adjusted EBITDA margin was 23%. Revenue growth in the quarter was driven by the addition of new stores. As Jonathan mentioned, we acquired Fix Auto in the second quarter of 2020, which added more than 150 collision shops to the portfolio. And we acquired ICWG in the third quarter of 2020, which extended our service offering to a fourth segment, adding over 900 Car Wash locations in the US and Europe.
Operator: . Your first question comes from Liz Suzuki with Bank of America.
LizSuzuki: So outside of the M&A that Driven Brands has undertaken, there’s been relatively less industry consolidation than we might've expected in such a destructive year. Some industry participants have talked about PPP loans kind of keeping these smaller businesses afloat. So my question is whether you think government support actually limited your M&A opportunities and that if in the next year or two, you could see more opportunities for tuck in?
JonathanFitzpatrick: I think we were pretty active from an M&A perspective in 2020, right? We did six auto in April and we did the Car Wash deal in August. So I think we were pretty active. I do think on some of the smaller chains and independence, there is a little bit of residual PPP funding or stability impact there. But our pipeline from M&A perspective feels really good. And I would say that we're not concerned about the opportunities going forward.
LizSuzuki: And then another one on kind of organic store growth. Which segments of automotive service do you think the US market in particular is under stored, or if it isn't under stored but is kind of just stored incorrectly. How do you see that as an opportunity for Driven Brands?
TiffanyMason: So just to further Jonathan's point, the places we would expect to lean in, we see tremendous opportunity in the maintenance segment, specifically in the quick lube space and we will continue our greenfield expansion as well as the franchising of that business. That franchise pipeline is tremendous and we're really pleased with the way that business is unfolding. Secondly, Car Wash obviously is a brand new opportunity for us, super excited about the whitespace in that business as well. We took advantage of a significant amount of tuck in activity in the fourth quarter as we fold that business into our portfolio and we'll continue to execute M&A transactions as well as build new greenfield sites in the Car Wash space. And then of course, in the paint, collision and glass segment, that's a franchising model, fully franchising model franchising model and there's great runway there to continue to convert independent collision shops to our Driven Collision brands.
Operator: Your next question comes from Simeon Gutman with Morgan Stanley. Your line is open.
SimeonGutman: It was mentioned in '21 guidance, positive same store sales, realized that's somewhat open ended. Is there any more specificity you can provide, what where that range could be that underlies the 30% EBITDA margin guidance that you also gave for the year?
TiffanyMason: Like I said in scripted remarks, consumers are in great shape financially, right, they've been saving more, spending less, vaccines are starting to roll, that's going to improve mobility. So we think this business continues to recover over the course of the year. As I said at the end of my remarks, we're really bullish on 2021. Obviously, Q1 is going to be the low point as we lap the last quarter. It didn't have a COVID impact last year. Q2 I think we all expect to be gangbusters just because we're lapping some pretty tough comps last year. And then we'll return to store averages somewhere around the 4% mark in the third and fourth quarter. So definitely positive for the year. We expect, frankly, positive comps across all of our segments. And as we get further into this recovery, furthering the vaccine distribution, the business just continues to get to get healthier and healthier.
SimeonGutman: And then maybe my follow up, I'll make it a two parter and then I'll stop. Can you just parse out the, call it, the businesses that are more reopening than versus the ones that did steady? And you said you expect to get these healthier run rates by the end of the year. Are all signs pointing to being on track to getting there and you're seeing signs of even in early places where vaccine distribution stepping up or miles driven improving, are you seeing the right time? And then the second part of it was how did Car Wash step up us loyalty so much in the quarter. I think year over year, I think it was -- maybe it was year over year. How did it step it up so much and was that from anything that legacy that the Car Wash business had in place or things that Driven did?
TiffanyMason: Let me take the first part of that question, and I'll let Jonathan talk about the subscription model for Car Wash. So as we think about segment performance, if you look across the business by quarter, obviously, Q2 was tough, we all know. Q3, we started to see great rebound. And so we posted positive comps in Q3 in the maintenance segment, as well as in the platform services segment. And as we’ve talked about pretty broadly, paint, collision and glass was bit lagging in recovery because of collision miles and the lower congestion miles. So lower congestion miles mean less collision risk. As we roll from Q3 to Q4, we saw continued positive performance out of maintenance and platform services. And importantly, with PC&G while it's still negative on a two year stack basis, we saw great sequential improvement. So we're seeing recovery across all of the businesses in which we operate. And back to my comments about 2021 as things continue to recover more broadly in the industry, our businesses will continue to perform very, very well.
JonathanFitzpatrick: I'll just sort of answer the question on the subscription revenue and Car Wash. Yes, I think we saw about 400 basis point improvement in Q4. That was sort of, I'd say, we're continuing to see that in Q1. How did we do that? I think it's a couple of things. One is, as you know you've heard us talk about before, variable compensation is a huge element for us. So we make sure that all levels of the organization and Car Wash had the right variable compensation plans in place. Secondly, we had a highly focused effort on retraining people in terms of selling techniques. And then lastly, obviously, Suzanne and the data analytics team leveraged data to understand how to best execute against this incremental subscription model. So we think it's very much building on a good base that the ICWG team had pre-acquisition but we're sort of supercharging that, and feel really good about sort of those trends as we look forward.
Operator: Your next question comes from Chris Horvers with JP Morgan. Your line is open.
ChrisHorvers: Can you talk a little bit about some of the segment comps here in the fourth quarter, the maintenance segment to the plus one, we're modeling a bigger number of plus seven. On the other hand, platform services clearly outperformed. Did something surprised you in December in terms of what happened in maintenance in terms of the COVID spikes or weather, or what have you and then similarly, what drove the out performance in platform?
TiffanyMason: So let me start with maintenance, posted a 1.2% positive comp in Q4, good positive comp, very strong comp. We continue to benefit in the maintenance segment from the new marketing campaign that Jonathan discussed in his prepared remarks. So we already said in the early part of 2020 and continue to get great customer response, not only from existing customers but in terms of new customer acquisitions. I think what’s offsetting that marketing effort to some extent was that second wave of COVID. I mean, obviously, as you look across our businesses, we were dealing in multiple geographies with multiple levels of restrictions. There was some pressure there. The beauty of the Driven Brands portfolio though is our diversification. The other diversification in terms of geography are service occasion we're able to help balance out the portfolio with the mix that we have. So 1.2 positive in maintenance, we continue to see great performance from the maintenance segment and are bullish about that business for 2021. Platform services had a 9.5% comp. As I mentioned in my prepared remarks, we actually issued or implemented a new product line with exhaust this year. It's done a tremendous business for us. So that's one positive. And I would also tell you obviously platform services being primarily distribution business where we have very high in stock levels, throughout the COVID pandemic and into the fall in a lot of cases, we were the source for some of those heavy duty long tail items that independent operators needed to be able to repair cars. So we were there when our customers needed them and it's benefited our business in a big way.
ChrisHorvers: And then, to parter as a follow up. So I guess more broadly within those segments, has your expectations changed in terms of how the performance might be relative to the Analyst Day? And then related to that, can you talk about how stimulus affected your business, presumably last April probably wasn't much given lockdown. But then you had January and presumably stimulus wasn't in your expectations, the current stimulus plan that's about to be approved wasn't in the original expectations. Is that accurate?
TiffanyMason: Yes, that's right. So let me give you a few thoughts there. So first thing I would say is our expectations for 2021 are largely in line with what we thought back in December when we had our Analyst Day. So no dramatic shifts in overall performance, nor in the makeup or mix of the segments. As we think about Q4 and rolling into Q1, for sure, stimulus is in the mix, that’s a good tailwind for us. As I mentioned, as vaccines start to roll out, that's an additional tailwind. But then, of course, we were battling some other related pressures coming out of Q4 and into Q1, whether it's COVID lockdowns, severe weather in some parts of the country. Net-net, as we said, we're on plan for Q1 and our expectations really aren't different than what they were in early December.
Operator: Your next question comes from Peter Benedict with Baird.
PeterKeith: I guess going back to the Car Wash segment, wondering if you can maybe talk a little bit about the competitive environment there, a lot of people kind of going after that segment. And you guys made some progress there in the fourth quarter with some tuck ins. Just curious kind of what you're seeing there, the level of competition when you're going after these tuck-ins kind of any of you on the multiples that are being paid, either specifically or just qualitatively? That's my first question.
JonathanFitzpatrick: I think you should think about what we've done with the Take 5 business over the last five years, we started with 60 stores. We sort of perfected the model. We grew company stores. We added franchising. Super successful in terms of a really specialized M&A team here that knows how to buy the right assets at the right prices. So we like competition because we generally beat it. So we feel really good about the Car Wash business, both in terms of what we've done since we've acquired it and the future for that business. So feel really, really bullish about the Car Wash opportunity as we look forward.
PeterKeith: And then maybe just any broader comments around your franchise renewal rates, how they've been trending? It sounded like things were pretty positive on that front. But just curious what maybe you can share on that more broadly. Thank you.
JonathanFitzpatrick: Yes, our franchisees did amazing in 2020. We're so proud of them. They stayed open. 95% of our stores stayed open for the entire year. Franchisees managed demand changes in their business, the labor model in their business, we help them in every way we could. So we didn't lose one franchisee as a result of COVID impact in 2020. So our renewal rates are very good and have not changed. And even more importantly, Peter, if you look at our franchise pipeline, our franchise pipeline is bigger than it's ever been. So we see this renewed and incremental interest in people getting into the automotive space because quite frankly they see the benefits of this industry. So our franchising portfolio in general is in terrific shape.
Operator: Our next question comes from Ms. Sharon Zackfia with William Blair.
SharonZackfia: I guess two questions, I mean understanding the issues of surrounding paint, collision and glass. How much of an increase kind of in miles driven or congestion do you think you need to start seeing that kind of influx back into positive comp territory? And I guess implicit on that, too, is if I look at the segment margin, is any kind of positive comp going to kind of translate into an improvement in margins in that business or because they went down so much in the second quarter of last year, is there more of a gap that needs to be made up? And then a second question on pipeline for both M&A and franchise development. I'm wondering if you've seen an uptick in interest since going public?
TiffanyMason: So let me take the first two and I'll let Jonathan address the franchise pipeline and that specific question. So in terms of vehicle miles traveled and its impact on PC&G. Obviously, vehicle miles travel being down is a factor for that business, more importantly even is the amount of congestion miles. And so early in the pandemic when severe same home orders were in place, we saw as much as 70% or 80% decline in congestion miles, which put tremendous pressure on the collision business. In the back half of the year, that's recovered a bit. So we're now down about 40 or so percent. Our forecast for VMT and as we triangulate that with external sources would suggest that DMT returns to 2019 levels by late 2022. But importantly, congestion miles as vaccine distribution picks up and people become mobile again, we actually think congestion miles start to recover and get to a place where it's recovered by September of this year. So PC&G, while lagging the rest of the segment has been recovering, and we continue to see solid momentum, solid progress in that space. In terms of margins, the only thing I would add would be, obviously, PC&G is a franchise business. So as those volumes come back and we record revenue on those system wide sales that's a franchise business where the profitability drops straight through to the bottom line. So when you have that impact coupled with the fact that maintenance and platform services are performing quite well and maintenance has very healthy margins as does Car Wash, that's why we're confident in our expectation that we can deliver 23% EBITDA margins for 2021. Jonathan, do you want to touch pipeline again just a bit?
JonathanFitzpatrick: Sharon, let's talk about M&A, first of all, and the question was, is being public affected that. We've been very acquisitive for the last five plus years. We've done over 40 transactions. We're staffed to do M&A, we will be considered an acquirer of choice in this industry. So that's not changed since we've gone public. This is something that we're very good at and have a phenomenal track record of doing it. And I would imagine that we will continue to do that in the future. So no real impact from being public there. In terms of franchisee interest in our business, really I don't think anything's changed since being public. I think what's happened though, Sharon, over the last sort of 18 to 24 months is a couple of things. One is people understand the power of the Driven platform and the benefits that we bring to franchisees, whether that's scale, whether it's purchasing, whether it's marketing, whether it's data analytics. I think franchisees, maybe from other industries, are understanding the power of the automotive aftermarket space and that it's needs based, it's highly recession resilient. Quite frankly, they can make better returns of this space than other spaces, it's highly fragmented. So I think all of those things coming to really not to do what Driven being public, I think people are just recognizing the phenomenal industry that we operate in.
Operator: Your next question comes from Kate McShane with Goldman Sachs.
KatheMcShane: I know that data analytics is a big initiative and differentiator for you. So I wondered if there was anything new to discuss there or whether there are new measures or ways to leverage existing data to help drive 2021 comps?
JonathanFitzpatrick: I will tell you that, I think Simeon mentioned it earlier, he asked about the subscription model in Car Wash. It's no surprise that we're driving 400 basis point improvement in Q4. We still see that improvement, a lot of that is coming from our data analytics capability. So that's one specific example of how we're leveraging data to drive actual results and revenue and better cash in our business. So look, we continue to have data analytics influence across all things we do in Driven Brands, whether that's same store sales, whether it's real estate models, whether it's M&A models, whether it's subscription model. So it really is just part of our DNA and part of our culture. And as we continue this journey, it's only going to get more powerful.
KatheMcShane: And my second question, unrelated. I just wondered if there's any way back to the same store sales guidance comments. How you're thinking about organic market share gains in 2021 and how it compares to 2020?
TiffanyMason: So Kate, let me take a shot at that and then you can tell me if you have a follow up. So again, first and foremost, nothing in our outlook has really changed since the Analyst Day in December. We feel great about our competitive positioning as we enter 2021. As we said a couple of times this morning, we're on plan in the first quarter and we expect positive same store sales in total and frankly positive same store sales across all four segments. So obviously that would suggest on a total basis, recovery by the end of essentially recover by the end of 2021. So we feel very good about our positioning and based on the comments around data analytics, driving additional traffic to the stores, driving more insights that we can use to leverage for targeted marketing and continuing to drive the carwash subscription model. We've got lots of effort and support behind driving same store sales.
JonathanFitzpatrick: And Kate, I would just sort of come over the top there and say, we are fully committed as we were in Analyst Day to delivering consistent organic same store sales growth in that sort of low single digit for many years to come. So that's absolutely how we think about the business.
Operator: Your next question comes from Peter Keith with Piper Sandler.
PeterKeith: Congrats on your first earnings call. You had mentioned at the beginning of the script that your sales and adjusted EBITDA were at the high end of your expected range. But it looks like your adjusted net income didn't quite come in with street expectations, and I would argue maybe your expected net income from the Analyst Day. So the core of the question is, is there something nonoperating that changed from the Analyst Day that potentially caused a bit of a net income miss?
TiffanyMason: Thanks for the question, and I appreciate the question so that we can ensure we clear the air here. So really importantly, when we think about operating performance, to the point, revenue and adjusted EBITDA and even acquisition adjusted EBITDA came in at the top end of the range. So operating performance was very strong in the fourth quarter and for the fiscal year. There are some nonoperating things below the line things that I'll point out. So if you look at the midpoint of the net income guide in recent developments versus the net loss that we reported, there are essentially three things driving that delta. It's about a $7 million delta. $5 million of that has to do with higher tax expense. And as I said in my prepared remarks, we had a nondeductible expense in a foreign jurisdiction, specifically related to Car Wash. We also had the impact of some state tax changes on deferred tax liabilities. So that's $5 million of tax and we had $7 million of higher depreciation and amortization associated with the purchase accounting that we finalized in the fourth quarter and related to the step up and associated useful lives for Car Wash. Offsetting those two negative impacts was a larger foreign currency gain to the tune of about $6 million as a result of rate movement in P12. So all nonoperating items that caused that delta versus what our expectation was.
PeterKeith: And maybe my last question, a bit of a follow up to Chris' question, just on the stimulus. With the amount of checks -- the dollar amount of the check is coming out and it looks like there's even going to be some child tax credit benefits in the back half of the year. You guys serve a core middle income consumer. And I'm wondering if you typically see any sales bump from stimulus or monthly checks to milled income, and maybe thinking a little more around the discretionary side of the business, which would be around Car Wash. Any historical observations would be helpful.
JonathanFitzpatrick: We're super bullish about the rest of this year. I think that the return to mobility, people driving more coupled with stimulus check that, as you rightfully pointed out, sort of hit our core customer, our core customer has a household income of about $60,000. They drive cars with about 100,000 miles on them. Those cars are about 10 years old. So if you think about the sweet spot of where stimulus is going to impact, we feel really good about sort of our core customer being a beneficiary there. So I would just reiterate that we're super optimistic about how 2021 is going to shape up in terms of return to mobility and driving more and clearly sort of over the top health of this stimulus package that looks like it's going to get passed.
Operator: Your next question comes from Karen Short with Barclays.
KarenShort: I actually was wondering if you could maybe give a little color on the cadence of comps during the quarter. I mean I'm assuming weather would have had some negative impact on comps on some of the segments, given the Polar vortex, and then wondering if you could give a little color on comp in the quarter-to-date? And then I had one follow up.
JonathanFitzpatrick: We don't talk about the W word. We won't talk about it today. We won't talk about it in the future. We're very pleased with Q4 comps across the organization. And just to sort of reiterate how we're feeling about Q1, I should say, like I said earlier, we are on plan for Q1 and look forward to really good performance for Q2 and beyond in 2021.
KarenShort: And then I guess, maybe just a little more on the stimulus. Is there any way you could give some color in terms of what the stimulus would have done to impact January relative to what the next stimulus will be? Because obviously, it's exponentially higher. And then if you didn't want to answer that, I wanted to see if you could maybe talk a little bit about where you think the rate leverage level would be given all the M&A opportunity and where you feel comfortable?
JonathanFitzpatrick: Yes, I'll just reiterate on the stimulus. This is going to be an unusual year in many respects. Like we are seeing the vaccinations get out there. We're seeing more optimism with the consumer. They've obviously saved some money in 2020. So driving trends are going to continue to increase, mobility is going to increase. People may have more money in their pocket. So we feel really good about 2021. I'm not going to specifically tell you what we think stimulus could or couldn't do to our business, but we're really optimistic about 2021. And then I'll let Tiffany cover the leverage piece.
TiffanyMason: So as I said in prepared remarks, we ended 2020 on a pro forma net debt basis at 5 times, and that's pro forma for the paydown of the ICWG debt that came from the proceeds of the IPO. We are very comfortable at 5 times leverage. It puts us in line with or better than our highly franchised peers. And so as we think about taking advantage of white space in the market, most of that's going to come through tuck-in acquisitions in the segments that we talked about earlier in the call. And most of that tuck-in acquisition can be effectuated with cash from operations. So I would say 5 times leverage feels like the right place for us, again, puts us in a good spot relative to the peer set. And we feel like we're very well positioned to take advantage of the pipeline of M&A.
Operator: And your last question comes from Seth Sigman with Crédit Suisse.
SethSigman: So I wanted to follow-up on the EBITDA margin guidance for this year. So flat at 23%, you are guiding to positive comps. I think that outlook is pretty consistent with what you said before, which would -- margins around this 23% range. But can you just remind us some of the puts and takes to be thinking about here? And how operating leverage, I guess, has held back if there's offsets to be thinking about? Thank you.
TiffanyMason: So let me make a couple of comments. I would say, first and foremost, think about the mix of the business. We've got a Maintenance business that is a mix of company owned stores as well as franchise business. The margins on the company owned stores are in the mid 30% range. And the franchise business, obviously, we collect a royalty and that royalty drops straight through to the bottom line. Car Wash in the US is company owned, again, mid-30% margins, very healthy business and then from a PC&G perspective, all franchised, so don't collect a royalty and those royalty rates drop through to profitability. So to the point on our expectation for 23% margins consistent with what we just delivered in 2020. Obviously, with the white space in our industry, we're focused on growth. So our focus is on growth. And we want to make sure that we deliver stable, consistent margins as we grow the business. Having said that, same store sales growth and new stores drive incremental EBITDA dollars, and that allows us to leverage fixed costs. And then, of course, we're always looking for opportunities to improve margins through cost reduction strategies and efficiencies. So we're committed to delivering stable, consistent margins, but we will continue to look for opportunities to drive improvement.
SethSigman: And there are no major cost concerns, or at least, you should have an ability to offset any cost pressures as it relates to supplies or anything like that. Can you just comment on some of the levers that you may have there?
TiffanyMason: Yes, we'd be happy to. So I agree. Given that we're a franchisor and the majority of our stores are franchised, that gives us a little bit of insulation from a cost perspective, whether you're thinking about labor or you're thinking about product costs and our ability to pass through any sort of inflation there. So no concerns. I think as you think about the company owned business and wages, obviously, our models require less labor than most of the multiunit franchise models. So we have less labor in our stores. As Jonathan mentioned earlier, most of our employees are at a very healthy living wage now and some of that comes from the variable comp and our commitment to that variable comp program. And then because our average ticket is a bit larger than many multiunit models and our service levels are fantastic in an essential needs based environment, we do have, as a last resort, the ability if we need to, to pass along inflation. Two big product categories would be oil and paint. I think in the oil space, this is obviously lubricant products. Our contracts are long term in nature. There are multiple commodities. So there's some natural hedge in those agreements, and they're also tied to indices. So we necessarily aren't locked into a fixed price, for example, over that long term contract. On the paint side, that paint we're selling to franchisees and again, somewhat limited in the impact that it has to us because reflecting royalties on that franchise business. So punchline here, Seth, there’s no real concern from a cost perspective.
SethSigman: If I could just follow-up on one other point. I mean, a lot of conversation around demand and the impact of miles driven. Can you just give us a little bit more color on how immediate of an impact do you see when miles driven improves versus I guess a lag from the cumulative wear and tear on a vehicle? And is your sense that there may be pent-up demand from cars that have not been used as much but that will come back pretty immediately. How are you guys thinking about that?
JonathanFitzpatrick: Yes, I'd just reiterate, there's a lot of moving parts going on in 2021. We've got increased mobility, driving trends are going to pick up. I think people are going to start returning to work at some point in 2021. We've obviously got stimulus checks. I think there is probably some pent up demand in terms of some vehicle maintenance or vehicle service. It's not like a food occasion where that's gone and gone forever, the car is still there. Again, our core customer, a lot of our core customers have still been driving and working in 2020. So I would just reiterate that we feel really bullish about 2021 and there's far more tailwinds in our future than there are headwinds that's how we think about it.
Operator: I will now turn the call back over to Mr. Fitzpatrick.
Jonathan Fitzpatrick: Thanks, Denise. And thank you all for your time this morning. We're incredibly proud of our team, our franchisees and our results in 2020, and we look forward to a really great 2021. We'll talk to you all soon. Thank you all.
Operator: This concludes today's conference call. You may now disconnect.